Susan Filyk: Good morning. Thank you for joining us today for our webcast announcing U.S. Global Investors' Results for the First Quarter of Fiscal 2016. I’m Susan Filyk. If you have any questions during the webcast, you can enter them in the questions area of the control panel’s sidebar, which is normally to the right of your screen. Also, you may download a PDF of today's slides by clicking on the red handout button. The presenters for today’s program are Frank Holmes, U.S. Global Investors' CEO and Chief Investment Officer; Susan McGee, President and General Counsel; and Lisa Callicotte, Chief Financial Officer. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast that don’t pertain to historical facts are subject to risk and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filings for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today and U.S. Global Investors accept no obligation to update them in the future. Now let's go to Frank Holmes, CEO and CIO for an overview of the quarter. Frank?
Frank Holmes: Thank you, Susan. U.S. Global Investors is an innovative investor manager with vast experience in global markets and specialized sectors. Founded as an investment club, the company became a registered investment advisor in 1968 and has a longstanding history of global investing and launching the first of the kind investment products. U.S. Global Investors is well known for its expertise in gold, precious metals, natural resources and emerging markets, which I’m going to walk through in this presentation has had tremendous challenges since 2011 in addition to, as a money manager but those categories globally. In particular, the past two years would be massively strong dollar. We’re going to walk you through [Technical Difficulty] of how we’re adapting and adjusting to those external factors. But let’s take a look at what makes us special and let’s go to strengths. We are a go-to stock for exposure to emerging markets and resources. We’re debt-free and we have strong balance sheet with a reflexive cost structure, which Lisa Callicotte, our CFO will comment a bit more on in the presentation. And we still maintained monthly dividends on a return of equity discipline and how we’re repositioning products, et cetera. Susan McGee will comment in more detail of what we’re doing to restructure in light of the capital markets and how they’ve morphed and changed. Now I’d like to go on to our top 10 institutional holders of GROW. I’d like to thank them for their loyalty particularly during these treacherous markets and resources; the FIM Group, TheRoyceFunds, Sentry, Vanguard and BlackRock. In particular, the top three, which are all based on active money managers. The next slide is Slide 7, dividends; consistently paid them for eight years. The yield of the stock at 1.67 is 1.8%. The monthly dividend is a modest 0.0025. Share repurchase program is in motion. The Board has approved to repurchase up to 2.75 million shares of its outstanding common stock in the open market throughout the calendar this year. During the first fiscal quarter 2016, the company repurchased 73,021 class A shares using cash of $163,000. We use an algorithm that’s used to buy back shares on down days and in accordance with all applicable rules and regulations that restrict amounts and times of purchases. And this program maybe suspended or discontinued at any time. To our balance sheet, as it shows that cash has been declining and particular because of just losses as we go through this restructuring. Restructuring is not a linear process of, okay, I’ll sell my house or I’ll sell this. It’s a very steep and regulatory processes for making any types of change, and Susan McGee will go into much more detail today in her presentation, the process that we made in our press release last night of this restructuring. The next visual is showing you what the quarterly earnings are and particularly has been showing losses for the past several years. The losses seem to – hopefully the worst is behind us as we manage through this transition period. I’m a big believer that this current quarter we’re in should be the last significant challenge on the cash flow as we go through this restructuring and have additional costs again for proxy in the process of repositioning duties, responsibilities and other I guess key factors just for growth, how we can free up our intellectual capital for growth. You can see the quarterly assets under management, they didn’t have a decline just like most mutual funds that are in the resource sector have experienced such a decline and particularly the active group. What’s nice about U.S. Global is that we still maintain a very, very strong direct relationship with shareholders with our fund complex. So the big factors has been the strong U.S. dollar and I’ve written about it on our Investor Alert and I think it’s important for those who are listening that they take a look at the article that anytime you’ve had a 10% rise in the U.S. dollar relative to the global emerging markets, that basically is 100 basis points rise in the Fed fund rate. We’ve got a 20% rise. So we’ve already had a significant lift in interest rates and real rates return. And it’s so important for investors to differentiate between those nominal rates, which everyone’s focused on in the Fed funds and that’s basically faking everyone out whereas real rates have risen dramatically. The next visual on Slide 14 is really trying to highlight in simple terms what the pressure is of the strong dollar and what it does to resources. This is not just resources. There are so many companies where the big profits are made from industrial companies that are exporting airplanes to chemicals, et cetera, or Tiffany stores have all momentum [ph] regarding how they have been negatively impacted with the strong dollar. So the next visual is really highlighting a strong dollar hurts these names and it’s just as important to recognize that it has been remarkable the sheer size of the growth that run in the dollar for the past couple of years. So the next visual is showing you strong dollar hurts S&P companies and as it shows you the light blue is ex-energy with more than 50% of the sales, it is significant of seeing how companies mimic in their announcements the impact of the strong dollar, particularly with the currency swings. For gold mining companies, even though we have top performing gold mutual funds, it really is sad but the overall decline is still there and our revenue is basically off our assets and the assets themselves are declining. And even if you’re number one, two or three in those categories, the overall asset sentiment has declined. But is this enough? I just came back from Australia and their weak currency – their gold stocks are on a tear; 200% to 900% price appreciations. And so they’re truly benefiting from a weak Aussie dollar and have an intellectual capital for mining and the profit margins. So we look at those companies. They have twice the global average for returns on invested capital and profit margins. The next visual is emerging markets. I’ve seen a three-year decline particularly Russia and Turkey, which are significant to our emerging market funds. You can’t hedge the Russian ruble but you can hedge the Turkish lira, and we’ve been doing that in a modest way but it’s actually – it’s interesting if you look at Turkey in the past five years. In Turkish lira terms, the market is up I think 70%. So when you convert it to dollars, you’re up 30%. So the idea of hedging in that is important for us and maintaining our fund performance. The next visual, I know I’ve got lots of economic visuals but investors want to understand what’s taking place and what’s driving – there’s so many external factors that have been driving U.S. Global. But the positive note is that the PMI, which has been bearish for China appears to have finally turned positive and global PMIs have turned positive. But to truly get what they call the liftoff, we’re going to have to get China’s PMI above 50. We’re one month as above the three months and they’re above the 50. The next visual is our approach to building performance and managing costs. It’s a three-step process; streamline for stability and growth and I’m going to share with you and investors, it’s not a linear program. It’s not turn the light on or off. The process of streamlining is so expensive and time consuming but we are in motion and it appears to me that we will be closing that chapter on that restructuring this quarter, and it should be all behind us and then we can focus on our core competence, marketing and money management for the existing active funds we have and launching of ETFs and especially Smart Beta, and what I’ve learned now the Smart Beta 2.0, which makes it exciting. So the next visual is showing you that we’ve significantly streamlined the staff and we will continue to access various departments in this new world, this new market. But you can see the total decline is for 48% of number of employees. So as I just mentioned a few seconds ago, our focus is on our core competencies, which is money management and marketing and sales. By partnering with experts in administration operations, we’re able to benefit the fund shareholders and grow. Let me move to Bancorp. We had economic savings for the fund shareholders because they had massive economies of scale for the T8, which was a benefit for the shareholders at the same time for us, then we didn’t need the big stuff and technology and all the regulatory. It was necessary for all these people. We were able to outsource that and restructure. And now it’s Atlantic and its foresight and Susan McGee will go into more detail on the significance of this new partnership. Susan.
Susan McGee: Thank you. We announced yesterday a new partnership with Atlantic Fund Services. We will be transitioning through a fund adoption to Atlantic Fund Services for that firm to provide trust governance, fund accounting and transfer agency services for U.S. Global Investors Fund. Many legal compliance and administrative responsibilities will move to Atlantic Fund Services and this transition will free up resources at U.S. Global Investors to focus on investment management, the sales and marketing and strategic growth opportunities. We are expecting the transition to take effect on December 10, and cost will be decreased due to personnel and shifting of job functions that I just mentioned.
Frank Holmes: And what’s really important for GROW shareholders is that it’s a win-win, and anything that benefits the fund shareholders benefits GROW and vice-versa. So I think it’s an important step in how capital markets are changing and we’re changing with them. Susan, the next visual.
Susan McGee: Atlantic Fund Services out of Portland, Maine does provide quite a few services to mutual funds and hedge funds throughout the world. They do specialize in the servicing of mutual funds, they do provide the Series Trust, and as we mentioned they will be taking on the servicing of U.S. Global Investors funds.
Frank Holmes: So our current product line up, as you can see, the funds are there and we’ve streamlined them and we’ll reassess them in the new relationship with Atlantic. And we’ve been very happy with the growth of our ETF Jets and we had another accrete this week and accrete last week. This is all part of the constructive and it’s one of the least expensive – we call it inexpensive industry categories of the S&P 500. The S&P for shareholders that are not aware has 10 sectors and the 10 sectors themselves have about 100 industries. When you look at the transportation sector and you look at the industry group of its airlines industry, this is the only ETF out there listed on New York and it has the ability for investors to hedge positions; go short, go long. At the same time, for Global [ph] investors, it’s a wonderful product. So we’re very happy with the launch of that. And we’ve learned a lot. We’ve really learned a lot of how to monetize the intellectual capital we have in our marketing distribution and further I think it’s really going to help our active management, because disciplines necessary to create a robust dynamic rule-based system of investing that deals with both macro and micro factors and realigns itself unemotionally. Emotions went into creation of this particular set of rules. And after that, it has such great peers survivorship when we tested it over short-time periods, long-time periods, it’s extremely robust. When we look at year-to-date from the day of launching it and we compare it to other indexes out there and how it’s performing even after fees, it’s outperforming a New York Index that’s out there. So we’re very happy that what we’ve learned from this exercise. But building for the future growth and that is what is most important. 65% ownership in Galileo Equity Advisors, a Canadian asset management company earning valuable brand awareness over 170 countries through publishing of financial commentary and other regional content, which validates for everyone when being on I guess a conference rock 'n roll tour looking at rock to rolling from one country to the other, going from Peru and then from Peru over to Australia, it was amazing to see the enthusiasm that was coming out in those particular countries for mining, because those country currencies have declined and they’re now very profitable, which is very different in there if you’re in the mining sector in North America. So I was happy to see how many people subscribed to our Investor Alert. That’s the other part. It just shocks you. Wherever you go, people are going to comment on this particular [indiscernible] and what do you think about this? And so I thought it was a validation of this far-reaching content and how people respect our balanced view. But we’ll have more about this hotline to grow the ETF products. Just sort of educational, it is [indiscernible] the mutual fund world and it is changing. It’s not just ETF for the sake of an index and a category. It’s becoming much more intelligent and rational, and I think that that’s very positive as a product for the public. It will have its difficulties especially when you have great volatility, markets correct on a big Monday down that these stocks can trade at big discounts the ETF and vice-versa and big up days it can trade premiums to their underlying holdings. I think that that’s just a function of dealing and trading in those, but that doesn’t happen day-in and day-out. It’s only when there’s some global event that’s creating a fear, a surge in buying or a cascading in selling and it’s just recognizing those factors appear not to be bothersome to the general public. And so that’s what I think is another part of in mutual funds, very tough and fair value pricing. And everything is in great extensive detail to make sure you strike that NAV to perfection. And so I think we’ll see more traction growing in that category. But for us, we’ve learned so much from it and envision our future growth will be ETFs and form strategic relation with the U.S. Bancorp, Susan had commented on before. We launched our first Smart Beta ETF but it’s not in the Smart Beta 1, it really is I call it now Smart Beta 2 and we’re happy to see that we were ahead of that curve and how we created it. And it is focused on the global airline industry, Jets, and leveraged expertise those active managers who develop additional robust real Smart Beta ETFs. So the next one is just a visual of showing how happy we were to get it launched and then the media coverage that the marketing PR department has done a phenomenal job of creating an awareness of this. It’s just remarkable to see that the enthusiasm that took place in this category by such a broad global network. Now I’m going to turn it over to hardworking our CFO, Lisa Callicotte, to talk about the income statement and our financial analysis.
Lisa Callicotte: Thank you, Frank. Good morning. Now I will summarize our results of operations for the quarter ended September 30, 2015. Beginning on Page 34, we recorded total operating revenues of 1.6 million for the quarter. This was down 1.7 million or 52% from the 3.3 million we reported the same quarter last year. The decrease is primarily due to lower assets under management related to shareholder redemptions and market depreciation mainly in the natural resources and international equity sectors. So as Frank discussed, the challenges of these sectors have directly affected our assets under management and therefore our revenue. The decrease was slightly offset by the addition of the Jets ETF advisory fee. Moving on to Page 35, operating expenses for the quarter were 3 million, a decrease of 627,000 or 17% for the same quarter last year, primarily for the following reasons, employee compensation and benefits decreased 112,000 or 7% as a result of fewer employees and lower performance-based bonuses, general and administrative expenses decreased 197,000 or 17% due to strategic cost cutting measures and platform fees increased 338,000 or 50% due to lower assets held through broker dealer platform. On Page 36, we see our operating loss for the quarter ended September 30, 2015 is 1.4 million. This was somewhat offset by our other income, which was income related to our investment. Other income was 534,000 in this quarter, which increased from the same quarter in the prior year by 314,000. The increase was attributable to an increase in realized gains on sales of available for sale securities and lower unrealized losses on trading securities in the current period. Net loss attributable to USGI after taxes for the quarter is 868,000 or a loss of $0.06 per share. And as previously discussed, as the company endorsed U.S. Global Investors Fund proposal of adopted, we anticipate that certain revenue line items will be reduced or eliminated and it will offset by reductions in personnel costs, platform expenses, distribution expenses and other administrative expenses due to outsourcing or certain functions and responsibilities for these funds. We also anticipate that we will have additional one-time costs in the second quarter of our fiscal year 2016 as we implement these changes and look forward to the positive effect on our net income. Moving on to Page 38, we see we still have a strong balance sheet, which includes high levels of cash and marketable securities that combine to make up 79% of our total assets. And as we see on Page 39, we still have no long-term debt and the company has a net working capital of 19.1 million and a current ratio of 14 to 1. With that, I’d like to turn it over to Susan.
Susan McGee: Thank you, Lisa. While commodities in emerging markets have been out of favor with investors recently, our sales and marketing efforts have continued to focus on our longstanding top performer, the Near-Term Tax Free Fund or NEARX. And our newest product, the U.S. Global Jets ETF, which is the only airline ETF on the market. And as Frank mentioned earlier, we have benefited from a successful product launch for our first ETF. Jets has received extensive financial media coverage and also quite a bit of interest from the investment community. It was named one of the Most Popular New ETFs Launched This Year by ETF Trend. The Jets ETF has attracted about 50 million in assets, as we mentioned. It has very robust trading volumes and our sales team is making in-roads at key [ph] to help distribution channels. Jets utilizes a dynamic rules-based index strategy, as Frank mentioned earlier, and it provides investors with diversified exposure to the global airline industry. We do anticipate launching additional Smart Beta ETF in the coming year throughout 2016. As investors continue to worry about the timing and impact of an inevitable interest rate hike and volatile stock market rises and falls, our 5-star Near-Term Tax Free Fund continues to provide investors a common solution. It’s had consistent positive performance in tax free income and we’re proud that NEARX is one of only 30 equity and bond mutual funds out of an entire universe of 25,000 funds that has delivered consecutive positive annual returns for the past 20 years. It’s quite an accomplishment. NEARX has also earned the Morningstar’s 5-star rating for overall performance in the Municipal National Short-Term funds category. And our Gold and Precious Metals Fund also earned a 4-star rating in the Equity Precious Metals funds category. Investor's Business Daily recently highlighted the actively managed Gold and Precious Metals Fund and noted that it is outshining its path of ETF peers. We’re pleased that we have three of our funds holding the top Lipper Leader Rating. This rating is based on investor-centered criteria. And on the scale of one to five, Lipper Leader funds that rated five are in the top 20% of their category. The Near-Term Tax Free Fund and the government securities ultrashort bond fund both had a rating of five for our preservation and the Gold and Precious Metals Fund rates at five for total returns. The company and our funds continue to receive an invaluable amount of viral publicity that’s gained during media interviews, recommendations by influential financial newsletter writers, on the sharing and syndication of our award-winning original content by third-party publishers. For example, our slideshow on the world’s busiest airport was recently featured on Business Insider and it’s received over 456,000 views. This coverage helps us leverage our brand because we are able to reach millions of readers, viewers and potential investors. We also interact frequently with loyal followers through Facebook, Twitter and LinkedIn. Kitco News, the biggest gold Web site in the world with an audience of 10 million monthly visitors features the Gold Game Film Show with Frank Holmes weekly gold market analysis. In July, Kitco teamed up with the Street and that broadened the shows’ exposure and viewership. We started this show in 2014 and since the beginning, 81 video episodes of Gold Game Film have aired. U.S. Global Investors is well known for our timely and balanced market insights and thought leadership. Last month, the company earned another five STAR awards from the Mutual Fund Educational Alliance recognizing excellence in investor education, and that brings our firm’s total to 69 star awards since 2007 and we are also very proud of these awards and its recognition. Investors can sign up at usfunds.com and join over 30,000 subscribers who have currently received the award-winning Investor Alert and Advisor Alert in our e-newsletters and our CEO blog, Frank Talk. Now I’d like to turn it back over to Frank.
Frank Holmes: Thank you, Susan. Thank you, Lisa. So let’s go to an important visual. Everyone’s so caught up with nominal interest rates, Fed funds zero rates and what’s really important when you look at global currency realignments that take place, the U.S. dollar versus the euro versus the Japanese yen versus the Canadian dollar, et cetera, it’s all done in real interest rates. In particular, it seems they focus on what the two-year government bond is of America versus Canada versus the UK versus Europe and deduct the CPI number of the data that comes out of the inflationary number each month and you get a real rate of return. It is positive or negative. This is much more significant in the currency movements that take place. Money goes to countries where there’s positive real rates of return and it leaves countries where there’s negative real rates of return. And what we’ve seen in the past several years is that in fact the U.S. with Fed funds moving had real interest rates rise whereas Europe has declined, Japan has declined, the British pound has declined, the Canadian dollar has declined, the Australian dollar has declined. So this has had a significant impact on the rotation but everyone’s focused on nominal interest rates. And so the next visual as I show you that anytime we’ve had what they call negative swing of 500 basis points in real rates, it usually has great difficulty and a global slowdown. And the definition of a global slowdown is 2% global growth. Whereas in America, a slowdown or recession is defined as two negative quarters but the world functions very differently and it’s important to recognize we are having a global slowdown and this does impact our cash flow because it impacts the assets themselves and the strong dollar also impacts. So every time we talk about rates are going to rise in the U.S., it knocks the stock market out here. Not only does it knock out emerging markets and resources, it is also hurting the overall stock market. And this is a group think of wanting to see rates rise but there is no rational reason for them to rise. So we’ve used every time there’s been a surge for our short-term tax free fund is lowering interest rate yield curve and deploying cash. And so far, touchwood, as Susan mentioned, it’s a rarest fund out of very small or 25,000 mutual funds that have been up for 20 years in a row. Where it is a negative, it’s been a positive and trying to capitalize on it. We also will give you a next visual trying to show the real rates have changed and how they have been year-over-year. And what’s important here is just to show that any time we’ve had big declines in real rates, you get the currency, you get gold prices rising. So when we see gold at 1,900, it was just prior to a huge decline of plus 800 basis points of real rates in the U.S. to minus 400 basis points. That huge year-over-year drop took gold to 1,900 and since then we’ve seen nothing but real rates to climb and now hovering around plus 2%. China just went to negative deposit rates, Japan is negative, Europe is negative and we’re also impacting the slow down. I’ve been writing about this extensively but I think they’ve exhaust themselves on monetary stimulus. The issue is tax and regulations globally seems to be slowing down, hopefully, we wrote about the TPP, that’s a Trans-Pacific Partnership which is 25% of the world’s trade will get through next year. And we need fiscal stimulus where it’s forecasted that 18,000 shares will drop and historically as always that’s a greater economic growth. But this is the next visual to show you what happens when you have a strong dollar, the impact on gold, copper and iron ore. It’s much more difficult for U.S. companies right now to be able to make any money especially if you’re in the iron ore business because of the massive decline. And even with the Australian dollar going through a massive decline, the iron ore business is still a huge negative for them. But their gold mines – in fact, gold is above and has very attractive high returns on capital. The next visual just to put things in context, over the past rolling 12 months is to show you how much these currencies have declined and put that in context, the impact. So you can have great stocks in each of these countries but a decline in the currency. So if you make, say, the Canadian dollar, if you’re making 15% return in your money after you convert back to U.S. dollars, you’re basically only up 1%. The same thing happens in Australia. If you make 15% return in your money, which is a very attractive return on your capital, it’s what all private equity looks for, but you’ve lost 4% when you convert back to U.S. dollars. So the thought process of how you hedge these countries is going to be significant as an active manager. But let me share with you, you can’t hedge the renminbi and you can’t hedge the Russian ruble. So a lot of country’s currencies, which have experienced so much volatility, you just can’t hedge that currency swing in volatility. The next one is in my rock n' roll trip to Latin American and then over to Australia, which shocked everyone. This is the visual that people kept commenting to me about and it is the correlation of the Peruvian Sol, which is their currency to copper prices. And what happens is that a country’s currency is usually – it makes them attractive on two factors. One is, what is in export the most of and two, are their real interest rates higher than the U.S. dollar. So if the real rates in Peru are less than the U.S. dollar then the currency will fall and their largest source of foreign currency is exporting copper. So you can see the correlation for Peru is copper prices. Where you make the big money is buying a copper stock and copper prices are rising where you buy Peruvian copper stock, because not only does the copper prices rise and the stocks rise, the currency rise which gives you a greater amplitude of performance. The Peruvian stock markets normal D&A volatility is plus or minus 60%. It’s hard to fathom that. 70% of the time it’s a non-event for this stock exchange to go plus or minus 60% whereas in America, it’s plus or minus 20%. So the Peruvian stocks are three times greater in volatility. The next visual is Colombia and it’s not copper but oil, and it correlates with oil. And the next visual to give you this idea of the importance of understanding these country’s currencies is the Canadian dollar and the Russian ruble, they track the prices of oil [ph]. And then we go to Australia and it tracks iron ore. And basically I think that iron ore is going to be in big surplus for next decade along with met coal whereas copper and gold income of global economic upturn is sustainable, these particular – and zinc, these metals will surge. So the next visual was trying to show you Australian dollar declined, the impact in copper, iron and gold as you can see there’s been no remorse for them – not accrete is the word I’m looking for, for the Australian iron ore producers which has impacted their currency. But as you can see, the gold stocks – the price of gold in Australian terms is positive and that means returns on copper are rising. The global number rate now in our data analysis is the cash flow return on invested capital for the world of gold producers is around 12%; in Australia is 25% to 100% returns on their capital. So that’s why Australian gold stocks have been doing much better on a relative basis. So not everything is negative in Australia with falling dollar, their falling currency and falling oil prices. Qantas Air, which I flew back and it was the longest flight, it was nonstop from Sydney to Dallas Texas. That was 17 hours. But what’s important here for investors is that the stock’s up 180%. The next visual is global PMI. We write about it. It’s a forward-looking tool. It gives you an idea of sentiment of commitments and orders for manufacturers. If at any time, anything is going to be manufactured, you have to use base metals and energy to manufacture. So it creates a future demand and it’s predictable. So what it’s showing you that if the one month was above the three months that you have a high probability of oil prices rising, copper prices, S&P energy stocks rising and basic materials rising. And vice versa. And when the one month is below the three months, looking forward you can experience oil will decline, copper will decline, S&P energy stocks. So for us it’s important to track this every month. It’s not 100%. Nothing is 100% except for what Ben Franklin said, we’re all going to pay taxes and we’re all going to die. That’s the only certainty in life. The other part is how to ride the wave and enjoy life and use these tools like lights in front of your car to try to be able to see, have some visibility. The next visual and that was a very compelling piece of research that came out of Cornerstone and in addition it was another group that was similar was Steeple. It’s a global strategist. And these PMIs go through cycle, global PMIs and it appears that we’re in a trough period for global PMIs. We are in an election cycle for next year in America and odds favor another slowdown. Historically, in the fourth year of a Presidential election cycle, markets rise unless you have a crisis like we had back in 2008, which took place because of the pullback in '07 but the crisis really took place in 2008. The next visual is just really important to recognize the Investor Alert and what the PR marketing does in building the brand and how our story gets told all over the world. And it helps us stay focused for our own mixture. Our content is relevant. Our content is helping us. When we go through this process of creating this content, it’s actually helpful for portfolio manager and for myself the focus for macro to micro and what’s important. So now let’s jump into Q&A. Susan Filyk, you’re in charge.
Susan Filyk: Thank you, Frank. Now we’ll take any questions. Again, you can enter them in the questions’ area of the control panel. Our first question is for Susan McGee. As the asset class of U.S. Global managers turn positive and GROW shares benefit from an increase in AUM and correlating management fees, how much upside does U.S. Global give up in partnering with Atlantic?
Susan McGee: Well, our management fee will operate the same and the U.S. Global Investors revenue of course will increase as AUM increases. The fees from the 12b-1 plan and the shareholder servicing plan will continue to operate as usual. Those fees pay marketing and platform expenses and those expenses will continue. We will experience a decrease in the administrative services fees that we will be receiving, however, we have lowered our expenses by reducing our personnel needed to perform the administrative functions.
Susan Filyk: Thank you, Susan.
Frank Holmes: Lisa, do you have any comments of how is that that the format looks different though? The revenue is going to decline but the offset expenses are also going to decline. So why don’t you explain that to the investors, please?
Lisa Callicotte: Sure. So the lineout of our revenue is it’s going to simplify our income statement. So we have certain line items in our revenue that will either decrease or be eliminated but there will also be corresponding expenses. So we will be reimbursed still for certain distribution expenses, therefore, reducing those line items as well on our income statement. So this will also benefit our funds and with that, then having lower expenses also lowers what we’re paying for expense caps. So we do cap voluntary those funds and therefore that will also decrease our expenses. With that, we are planning to streamline our processes and reduce personnel, again, giving us lower expenses. So we’re talking about the net effect on our income is going to be positive due to all of these changes.
Frank Holmes: My experience since looking at this as CEO is when we have the transfer agency and the money market funds, there was just so much administrative duties and responsibilities that went with that. And as I mentioned, getting rid of that particular, maintaining $1 NAV that we can still [indiscernible] zero interest rate environment, it’s millions of dollars that it’s just – the industry as a whole we reported on previous webcasts was costing billions of dollars a year in maintaining $1 NAV. So when we partnered with U.S. Bancorp, what that really did was it lowered – they had economies of scale, so the shareholders benefit which is so key, the fund shareholders and then their benefits is our benefit. And so I think that that was very key, but we end up shrinking the number of employees because we had less admin people that were related to customer service. And the same thing today with Atlantic and this whole repositioning, there’s less admin people and really you’re going to a very focused – I like their metaphor Navy Seals. It’s a very – highly educated professional people that multitask, have multi skills, it’s not like the U.S. military infantry. It is highly educated, motivated professionals and you just need less. And with technology that you have today, it’s learning how to use your smartphone so that really it becomes a tool for growth. So that’s how things are changing.
Susan Filyk: Thank you, Frank. We have one additional question for Frank. The cost management is an important part of the equation, the other side of where revenue growth will come from in the future. Could you comment more on that?
Frank Holmes: Sure. The most important is growth. One is stabilizing in our overall complex in the mutual fund world but the growth has been and we’ve highlighted is the ETF space. And what I think is to look at our knowledge and our expertise in creating robust rules disciplined money management sets like being EPS, I believe there’s lots of opportunity and we’ll be coming out with our own category for the gold space and also for luxury goods. And we’re working away and it’s just not a simple quant model. It requires tremendous amount of scrubbing, so we can create a basket from a quant model of stocks that meet certain Smart Beta, that I like to call it, but it’s not enough. You have to go and look at what were the dynamics every quarter; the stocks went in and went out and know the names and do this, we call it double scrub on the robustness of the product and then back test that it does change with capital markets. It changes in a timely basis. It’s not hyperactive in turnover. And so with that, we feel much, much more comfortable on our ability to come out with products. We’re looking in Canada, coming out with which we’re excited on a product that will just be a wonderful product for investors. And it’s just the idea that I can grow for myself and put money into it and for the public, these are just great products. They’ve been really well thought out both top down and bottom up and that’s where growth is going to come from, because people are always looking for good stable products.
Susan Filyk: Thank you, Frank. Thank you for the questions this morning. This concludes U.S. Global Investors webcast for the first quarter 2016. This presentation will be available on our Web site at usfunds.com. Thank you all for your participation today.